Operator: Good morning and welcome to the Icahn Enterprises L.P. Q1 2023 Earnings Call with Jesse Lynn, General Counsel; David Willetts, President and CEO; and Ted Papapostolou, Chief Financial Officer. I would now like to hand the call over to Jesse Lynn, who will read their opening statement.
Jesse Lynn: Thank you, operator. The Private Securities Litigation Reform Act of 1995 provides a Safe Harbor for forward-looking statement we make in this presentation, including statements regarding our future performance and plans for our businesses and potential acquisitions. Forward-looking statement may be identified by words such as expects, anticipates, intends, plans, believes, seeks, estimates, will, or words of similar meaning and include but are not limited to statements about the expected future business and financial performance of Icahn Enterprises L.P. and its subsidiaries. Actual events, results, and outcomes may differ materially from our expectations due to a variety of known and unknown risks, uncertainties, and other factors that are discussed in our filings with the Securities and Exchange Commission, including economic competitive, legal and other factors including the severity, magnitude and duration of the COVID-19 pandemic. Accordingly, there is no assurance that our expectations will be realized. We assume no obligation to update or revise any forward-looking statement, should circumstances change except as otherwise required by law. This presentation also includes certain non-GAAP financial measures. A reconciliation of such non-GAAP financial measures to the most directly comparable GAAP financial measures can be found in the back of this presentation. I'll now turn it over to David Willetts, our Chief Executive Officer.
David Willetts: Thank you, Jesse. Good morning and welcome to the first quarter 2023 Icahn Enterprises earnings conference call. Joining me on today's call, is Ted Papapostolou, our Chief Financial Officer. Together, we'll provide an overview of Q1 results and then be available for questions. Before we get into the results of the quarter, I need to address the short seller report released last week. After this call, we'll issue a response which addresses the mischaracterizations and concerns raised in this report. There are a few high level points I'd like to address now. IEP has $1.9 billion of cash on hand and $4 billion of additional liquidity in the investment funds and we're well-positioned for future success. We have full confidence in the integrity of our presented financials in our reporting. 90% of our NAV valuations are comprised primarily of either mark-to-market securities or audited GAAP book values or external valuations. The remaining 10% are valued on a market comparable basis using historic EBITDA. Our dividend policy is based on our assessment of IEP's ability to return capital to unitholders over long-term basis. We generate liquidity through operations, selling investments, and selling companies. Since 2017, the firm has generated over $5 billion of cash from successful sales of controlled companies. Our operating companies have been the subject of intense improvement efforts over the last year. Although not complete, we're pleased with the trajectory of the companies. We've upgraded and augmented many of our company's management teams and we're starting to see tangible improvements in the results and overall performance of the companies. We have great confidence in their potential. Onto first quarter results, our results for Q1 2023 were down versus prior year, but that included large one-time non-cash charge for the Auto Plus bankruptcy, up $226 million. For quarter one, we had a loss of $270 million and adjusted EBITDA of $116 million compared to net income of $323 million and adjusted EBITDA of $616 million for the three months ended March 31st, 2022. For quarter one 2023, our investment funds had a negative return of 4.1%, reflecting the volatility we're seeing in certain markets. CVI ended the quarter with continued strong performance, largely due to an $11.96 increase in quarter one crack spreads 2023 versus 2022 with flat volumes. CVI declared a dividend of $0.50 per share for quarter one 2023. CVR Partners, also called UAM, performed relatively flat in quarter one 2023 compared to prior year largely due to decrease pricing for ammonia and UAM. For Automotive Services, revenue growth remained strong at over 5% first quarter compared to prior year. The team is aggressively working with our vendors to simplify our supply chain, reduce materials costs, and greatly reduce working model. Contracts are in the process of being finalized and we forecast continued improvements in the back half of 2023. Our indicative net asset value as of quarter end remained relatively flat at $5.6 billion as compared to December 31st, 2022. Indicative net asset value includes among other things, changes in the fair value of certain subsidiaries, which are not included in our GAAP earnings report above. The IEP Board declared a $2 quarterly distribution payable in cash for additional units. With that, let me turn it over to Ted for detailed discussion of all of our segments.
Ted Papapostolou: Thank you, David. I will begin by reviewing our consolidated results and then highlight the performance of our operating segments and comment on the strength of our balance sheet. For Q1 2023, we had a net loss of $270 million and adjusted EBITDA of $116 million compared to net income of $323 million and adjusted EBITDA of $616 million for Q1 2022. I will provide more detail regarding the performance of our individual segments. The investment funds had a negative return of 4.1% for the quarter, which was driven primarily by our short positions, offset in part by positive performance from three healthcare sector investments. For the quarter, long positions and other had positive performance attribution of 1.3% and 0.8% respectively, while short positions had a negative performance attribution of 6.2%. The investment funds a net short notional exposure of 38% at the end of Q1 compared to a net short notional exposure of 47% at year end. Our investment in the funds was approximately $4 billion as of quarter end. And now to our Energy segment. In Q1 2023, our Energy segment reported net sales of $2.3 billion compared to $2.4 billion in the prior year quarter. Adjusted EBITDA was $229 million for Q1 2023 compared to $142 million for Q1 2022. Q1 2023 refining margin per throughput barrel was $23.24 compared to $16.75 in the prior year quarter. This increase was primarily due to widening crack spreads. The cost of rents continue to have a negative impact on our refining business with $39 million of related expense in the quarter. Q1 2023 average realized gate prices for UAN decreased by 8% to $457 per ton and ammonia decreased by 16% to $888 per ton when compared to the prior year quarter. And now to our Automotive segment. Q1 2023 adjusted EBITDA was $21 million, a $23 million improvement as compared to Q1 2022. The Service business contributed $6 million of the improvement, while the deconsolidation of Auto Plus contributed $17 million. Q1 2023 net sales and other revenues for the Auto segment were $457 million, a decrease of $106 million from prior year quarter. The decrease in revenue is primarily due to the deconsolidation of Auto Plus. Automotive Service revenues were up $16 million and Automotive Part revenues were down $129 million. During the quarter, Auto Plus's carrying value was removed due to the bankruptcy. This resulted in a non-cash charge $226 million, which was recorded within the holding company segment. Now, to our Real Estate segment. Q1 2023 net sales and other revenues decreased by $5 million compared to the prior year quarter. Adjusted EBITDA was $3 million Q1 2023 compared to $6 million for Q1 2022. The decrease was primarily attributable to the sale of finished lots within the development business during 2022, which was offset in part by an increase in leasing revenues during 2023. The Resort business was flat year-over-year. Subsequent to quarter end, we terminated lease with a tenant for non-payment at a commercial high rise property. We consider the termination, along with other facts and circumstances, a triggering event for potential impairment and we will assess the impact during the second quarter. The property had a net book value of $218 million, of which $85 million of that was land value. Any potential impairment cannot be estimated at this time. Now, turning to our Other segments. Q1 2023 net sales and other revenues for all other operating segments were relatively flat as compared to the prior year quarter. This case adjusted EBITDA improved by $4 million or 31% for Q1 2023 as compared to the prior year quarter. The company improved manufacturing efficiencies compared to prior periods and the team has done a great job managing cost. Home Fashion's adjusted EBITDA decreased by $1 million as compared to the prior year quarter. They continue to be negatively impacted by the retail business and particularly in ecommerce. The Pharma segment's adjusted EBITDA for Q1 2023 improved by $1 million as compared to the prior year quarter. The management team is focused on the expansion of Qsymia in various territories. Now, to our liquidity, we maintain ample liquidity at the holding company and at each of our operating subsidiaries to take advantage of attractive opportunities. We ended the quarter with cash, cash equivalents, our investment in the funds, and the revolver availability totaling approximately $6.9 billion. Our subsidiaries have approximately $740 million of cash and $305 million of undrawn credit facilities to enable them to take advantage of attractive opportunities. In summary, we continue to focus on building asset value and maintaining liquidity to enable us to capitalize on opportunities within and outside our existing operating segments. Thank you. Operator, can you please open up the call for questions?
Operator:
David Willetts: Apparently, there are no questions. We thank you for your time. Do encourage you all to look for the report we're issuing in response to the short seller report. It should be issued approximately around 11 o'clock today. We look forward to talking to you on the next quarterly call. Take care.
Operator: And thank you for your participation and you may now disconnect.